Simon Carter: Thank you very much for joining us for our Full Year Results. It's been quite a busy year for the business, you have probably noticed, particularly in the last couple of months, so we've got plenty to cover. What I do hope you'll get from these results is a real sense of the momentum in the business and that the strategic decisions we took three years ago are really delivering for us. We're going to follow the normal running order. So Bhavesh will start with the financials, Darren will cover the operational performance, and I'll come back on the strategy and the outlook. But I thought before we do that, maybe if I just go through the headlines. We're pleased with our operational performance this year. We've continued to lease well across the business with 3.3 million square feet, leasing 15% ahead of ERV. We have also controlled costs well and taken together, this has led to profit growth of 2%, despite a number of properties entering development and the Meta surrender. Our strategy of focusing on Campuses, Retail Parks, and London Urban Logistics is delivering. ERV growth accelerated to nearly 6%, exceeding our guidance in all our sectors. We did see further outward yield shift of 33 basis points in the year, but the pace slowed in the second half. And combined with good rental growth, this meant second half values were stable. Overall, we outperformed the MSCI total return benchmark by 300 basis points. We've actively recycled capital this year. The highlights include the surrender and joint venture of 1 Triton Square, the sale of our remaining interest in Meadowhall and the commitment and pre-let to 2 Finsbury Avenue. With very good leasing momentum and high occupancy, our base case forecast for rental growth this year is 3% to 5% across each of our markets. Combined with a net equivalent yield of more than 6% and development upside, this provides for an attractive future return profile, which represents an excellent point to hand over to Bhavesh. Bhavesh, over to you.
Bhavesh Mistry: Thank you, Simon, and good morning, everyone. We've delivered GBP268 million of underlying profit, representing 2% growth despite a number of properties entering development and the Meta surrender. Earnings per share was up by 1% at 28.5 pence. In line with our earnings growth, we'll pay a final dividend of 10.64 pence per share, taking the full year dividend to 22.8 pence, a 1% increase on the prior year. Net tangible assets were down 4% at 562 pence per share. Following the sale of our 50% stake in Meadowhall post period-end, pro forma LTV was 34.6%, down 140 basis points. And Group net debt to EBITDA was 6.4 times, flat year-on-year. Let's now walk through our income statement, starting with gross rental income. The impact of the Paddington disposal in July 2022 and the surrender of 1 Triton Square by Meta in September 2023 were both key drivers of a 3% reduction in gross rental income. Property operating expenses reduced by 23% as a function of strong occupancy combined with the impact of the one-off collection from Arcadia in the first half. As a result, our net rental income margin was 92.4%, an improvement of 190 basis points. Fees and other income increased by GBP5 million, as we continue to progress on our joint venture developments. And despite the inflationary environment, administrative expenses decreased GBP2 million to GBP87 million. I'm pleased that our actions to drive fees and control costs have resulted in an EPRA cost ratio of 16.4%, down 310 basis points from last year, and we expect this to normalize in the high-teens going forward. Net finance costs were GBP108 million, down GBP3 million due to our decision to repay maturing higher cost bank loans with lower margin group facilities. The financing costs associated with development spend was largely offset by disposals. Our hedging protected us from increases in market rates and our weighted average interest rate at March 2024 was 3.4%. Underlying earnings per share was 28.5 pence, up 1%. And therefore, our full year dividend was 22.8 pence per share, up 1%. Let's now look at earnings per share growth in more detail, starting on the left of the slide. Net divestment resulted in an increase in EPS of 0.5 pence, primarily through the combination of our disposal of a 75% share of Paddington, where lost rents have been offset by subsequent finance cost savings and nearly GBP200 million of retail parks acquired over the last 24 months. Developments, whilst being a long-term driver of EPS growth, have the largest downwards impact in the period as earnings per share were reduced by 2.6 pence. This was due to the designation of 1 Triton Square as a development following the surrender by Meta, the full refurbishment of 3 Sheldon Square at Paddington, and the impact of finance costs on our development spend. Provisions for debtors and tenant incentives gave a 1.2 pence benefit to earnings. Rent collection has now returned to pre-pandemic levels of around 99%. As I mentioned earlier, this includes the one-off collection from Arcadia. Like-for-like income growth further improved earnings, adding 0.4 pence. Strong leasing across all three of our London Campuses delivered 4% like-for-like growth and our Campus occupancy now stands at 96%. In addition, Storey, which represents around 10% of the Campus rent roll, remains a key part of the campus proposition and delivered negative 18% like-for-like in the year. This was largely due to cost rebates we benefited from in the prior period and expiries which can be lumpy. Stronger Storey performance is expected, as occupancies now at our target of 90%, and Darren will provide more detail on this later. Finally, Retail and London Urban Logistics delivered 1% like-for-like growth in the year as we filled vacant units in our shopping centers, which helped to offset negative reversion coming through on some older leases. We expect growth across all of our sectors in FY '25, as we convert strong ERV growth into like-for-like performance. Finally, our actions to drive fee income, control administrative expenses, combined with our financing activity and hedging further improved our earnings per share by 1 pence. Looking ahead to FY '25, we're comfortable with current market consensus on earnings, and you can find our usual guidance slide in the appendices to the presentation. Moving on to NTA. We started the year with a NTA of 588 pence and saw a 23p decline in the first half, as property valuation declines were partly offset by the surrender premium we negotiated at 1 Triton Square, resulting in a first half NTA of 565 pence. By contrast, in the second half, NTA was broadly stable. And underlying profit less than dividend paid increased NTA by 1 pence. Other movements, including capital finance costs, reduced NTA by 4 pence. As a result of these movements, we ended the year with NTA of 562 pence. And our total accounting return was negative 0.5% for the year. Turning now to our balance sheet, which I'm pleased to say is in good shape and further strengthened post period-end by the sale of our 50% stake in Meadowhall. I'll start with our key debt metrics on the right hand of the slide, which continue to be strong. Following the sale of Meadowhall, net debt reduces to GBP2.9 billion, pro forma net debt to EBITDA on a group and proportionally consolidated basis becomes 6.4 times and 8.2 times respectively, and LTV decreases to 34.6%. We continue to have excellent liquidity. At March, we had GBP1.9 billion of undrawn facilities in cash. And based on our current commitments and these facilities, we have no requirement to refinance until early 2027. In August, following the annual review, Fitch affirmed all our credit ratings, including Senior Unsecured at A, with stable outlook. We completed nearly GBP1 billion of financing activity during the year. For British Land, we raised five new term loans totaling GBP475 million with five-year initial terms, and we extended GBP475 million in four bank revolving credit facilities to 2028-'29. This debt, which is unsecured and flexible, continues to support our strategy and has the same financial covenants as all of our unsecured finance with no interest cover ratios. Let's now look at movements in LTV, where we've kept a tight focus throughout the year. Portfolio valuation declines increased LTV by 1.5% Acquisitions and investment in our committed development pipeline together increased LTV by a further 3.6%. These increases were largely offset by the sale of the GBP125 million office and data center portfolio in the first half, as well as that GBP149 million surrender premium received from Meta at 1 Triton Square and the subsequent GBP193 million proceeds from a 50% joint venture with Royal London. Post period-end, with the sale of Meadowhall for GBP360 million will take total capital receipts since March 2023 to GBP920 million, with pro forma LTV decreasing 2.7% to 34.6%. You're familiar with this slide, and Simon will touch on our capital activity in more detail later, but let me briefly outline how we've executed our strategy against our capital allocation framework over the course of the year. The resilience of our balance sheet is of utmost importance, and it gives us the flexibility to invest in opportunities as they arise. We're pleased to have strengthened it in the year with disposals on average 11% above book value and the Meta surrender receipt. We'll continue to actively recycle capital, provided the pricing is right and market conditions permit. We remain selective and disciplined in deploying capital into future acquisitions. We acquired Westwood Retail Park in Thanet at a net initial yield of 8.1% and we continue to seek more retail park opportunities with strong returns. We also have an attractive development pipeline, where we expect our committed developments to deliver 4.5 pence of future earnings per share. Finally, shareholder distributions have grown 1% in the year, despite a number of assets entering development in the period. Let's take a closer look at developments, a key driver of long-term value creation for British Land, and how we think about them given changing market conditions. Higher market interest rates have increased to exit yields and finance costs. As a result, we've increased our hurdle rates, requiring 12% to 14% returns for London Campus developments and mid-teen returns for London Urban Logistics developments. Our development pipeline is focused on Campuses and London Urban Logistics, both subsectors where supply of high quality new space is tight and demand remains strong, allowing us to drive higher rents and increase our returns. These strong supply demand dynamics alongside construction costs leveling off at around 2% is why we believe we can make good returns. And looking forward, we'll remain disciplined in our approach to future developments. Most recently, we've committed to two new London schemes for Campuses and Urban Logistics at 2 Finsbury Avenue and Mandela Way. Whilst we look at return hurdles, we also target a yield on cost of over 6% and a profit on cost of around 20% when making new commitments. And you can see our two most recent commitments meet our required hurdles because of the strong dynamics in our chosen submarkets. For example, with 2 Finsbury Avenue, the strong supply demand dynamic was seen with the pre-let to Citadel where we've secured record rents for the city. And given the supply shortfall of the super prime space, we expect the remainder of the building to lease very well. Overall, our development pipeline is well placed to generate future returns, with total development profit to come expected to be around GBP1.4 billion. In addition to development profit, our current schemes are also expected to drive future earnings growth. As you can see on the right of the slide, our committed developments which include the likes of 1 Broadgate, 2 Finsbury Avenue, and Mandela Way will deliver a total of 4.5 pence of future EPS growth, with 2.4 pence of this being delivered in FY '26 alone. So, in summary, we've had a good year. We've delivered positive earnings growth. We've been disciplined on capital allocation decisions and we've maintained a resilient balance sheet, and excellent liquidity. And looking forward, we'll continue this approach to drive future returns. Thank you. I'll now hand over to Darren, who will provide an operations and market update.
Darren Richards: Thank you, Bhavesh. Good morning, everyone. Let's start with valuations. Although yields continued to move out during the period, the pace has slowed down significantly, with values stable in the second half. For the full year, values were down by 2.6%, reflecting a 33 basis point increase in yields. However, the portfolio net equivalent yield now stands at an attractive 6.2%. But what I also want to pull out here is the very strong overall rental growth of nearly 6%, which exceeds our guidance in every sector, demonstrating our concentration on the most in-demand segments of the office, retail and logistics markets. The focus on best-in-class workspace, combined with the benefits of our Campus proposition, has enabled us to drive rental values in this area by 5.4%. The Retail Park sub-sector goes from strength to strength. Our Park saw rental growth of over 7%, the highest in nearly 20 years, and the excellent demand supply dynamics in the London Urban Logistics market meant we achieved rental value increases of 10%. Now let me walk you through our activity in each of these areas. The performance of our Campuses very much reflects the trends playing out in the wider market. These trends are very clear when you look beneath the surface data of the agent activity reports which tend to focus on all types of space across the whole of London. So, for example, overall take-up for FY '24 was down 13% versus the 10-year average. But if we look at take-up for new and refurbished space in core central London, this is 12% ahead of average. And the forward-looking indicators are very positive. Space under offer a key measure of demand, increased significantly at the start of the year to 3.2 million square feet, 24% above the 10-year average. The volume of super prime deals, those done in excess of the prime rent, are 36% above the 10-year measure. And as you can see on the graph on the right-hand side, active demand is currently 13 million square feet, 37% above average. So a really strong picture on the demand side. This is also the case on the supply side where vacancy for best versus the rest continues to diverge, which for new or refurbished space in core central London sits at under 1%, while second-hand space outside the core increased to a record high of over 11%. And as you can see on the right-hand chart, the actual amount of new space in the core City and West End is very low. To put this in perspective, there's four times the amount of active requirements to currently available new space. Even if we include all the speculative space under construction to the end of 2027 and assume no new active demand, there is still 1.5 times more demand than space available. These very favorable demand supply dynamics underpin the great leasing performance we've executed in the period, with deals on 679,000 square feet, 8.7% ahead of ERV. Post period-end, we completed a further 316,000 square feet, 13.1% ahead of ERV, including the 252,000 square feet pre-let to Citadel at 2FA. And we've seen a noticeable uptick in demand with a further 544,000 square feet under offer at 9.3% ahead of ERV and over 800,000 square feet of active negotiations. At Storey, we've done 134,000 square feet of deals at a premium of 30% to traditional rents with occupancy at our 90% target. Storey remains a well-evolved high-quality flex product. Six years in, it's now a key element of our Campus offer. We're seeing strong levels of interest and access to the meeting room and conference space we provide are important factors in the decision-making process for new customers to the wider campus. This activity demonstrates the continued demand for best-in-class workspace and our campus proposition, with occupiers placing huge importance on getting the best space in an accessible location with high quality amenity and environment, and is why we consistently reporting strong leasing numbers combined with the high levels of occupancy you can see here. We're also leasing well across our development pipeline at Paddington, 3 Sheldon Square completed earlier this year with an all-electric design and an EPC A rating. It's our lowest embodied carbon refurb yet, and the building's already 86% let or under offer. As I mentioned, at 2 Finsbury Avenue, we've secured a 252,000 square feet pre-let with hedge fund Citadel with additional option space which increased the space take to over 380,000 square feet, representing 50% of the building. We've since committed to the development, and Simon will cover this in more detail shortly. And next up will be Norton Folgate, The Optic in Cambridge, formally the Peterhouse Expansion and Canada Water. The office space at Norton Folgate’s already 42% let. We've commenced work on 67,000 square feet of fully fitted space, which is likely to be let closer to completion later this year, and we're in active discussions on the remainder. The Optic will be a mix of lab and office space. Simon will cover this in more detail later. And at Canada Water, we're making good progress on Phase 1, which will be ready for occupation in 2025. The pace of residential untill sales is increasing. We're achieving sales of GBP1,250 per square feet, which is above our target pricing and is attractive relative to competing schemes. We'll also be delivering best-in-class workspace with excellent sustainability credentials and at a good price point, targeting upwards from GBP50 per square foot. Marketing is in full flow, and we're talking to a range of potential customers. Plus we've made additional lettings at the modular lab space and we're in negotiations on the remainder. So positive progress so far. And as you know, we benefit from a highly flexible planning consent, meaning we deliver the -- meaning we can deliver the right mix of residential, retail and workspace to reflect demand going forward. Elsewhere on our campuses, we're working up plans at 1 Triton Square at Regent's Place Campus. As many of you heard at our Science and Tech Event, we proactively decided to take back the space from Meta. Key factors in the decision were GBP149 million surrender premium, the chance to unlock significant reversion and the opportunity to accelerate our science and technology strategy. Since then, we've signed a joint venture with Royal London to develop a world-class science and technology building. The joint venture both increases and locks in returns. We received gross proceeds of GBP193 million in addition to the surrender premium. This meant we took out the equivalent of 82% of the value before the surrender, and we still retain 50% of the building and of the significant upside. And overall, we expect to deliver an IRR of over 30%. You've seen this slide before, and that's due to the fact that hitting sustainability targets is now very much business as usual. As you can see, we continue to make great progress and this is driving real commercial advantage, with occupiers wanting the best and most sustainable buildings. In 2022, 36% of the portfolio was A or B rated. That's now 58%, and we're on track for it to be around 64% at FY '25. We originally estimated the overall cost to get to an A, B rating was circa GBP100 million, of which two-thirds we've recovered through the service charge. To date, we spent GBP18 million, of which 63% has been recovered. So we're comfortably within our forecast number and confident we'll hit our targets. Now, moving on to retail. As we outlined at our Investor Day in September, and as Simon will cover shortly, there is now a clear structural shift towards the Retail Park format and this sector continues to deliver. The supply fundamentals are incredibly favorable. Planning restrictions mean there's unlikely to be any more new stock built in the UK. Less than 5% of the total has been built in the last 10 years, the majority of which was done using historic consents. And the retail park market represents only 8% of total UK retail floor space, so less space nationally, but there's also less units on the ground. The average retail park usually has 15 to 20 units, compared to the average shopping center with over 100. This really helps drive demand supply tension, combined with the fact that many retailers are wanting to increase their out of town footprint, attracted by the many benefits of the format, including the low occupational cost ratios, which are currently at 9%. These fundamentals are translating into operational performance across our portfolio. We completed 1.5 million square feet of leasing activity in the period at 19.9% ahead of ERV. And we have a further 282,000 square feet under offer at 19.2% ahead of ERV, which is why we remain virtually full with 99% occupancy. Finally, let me turn to logistics. To remind you, we built a pipeline covering 2.3 million square feet with a gross development value of GBP1.5 billion. In the year, we've seen positive leasing activity and planning progress. We successfully regeared 230,000 square feet of space across the portfolio at 7% ahead of ERV, and more than double the previous passing rent. And we've achieved planning on four out of seven sites, including the Box at Paddington, Thurrock, Enfield and Mandela Way in Southwark, where we've already started on-site. And we have a committee date next month for Verney Road, also in Southwark. So, our business continues to perform extremely well occupationally, with very strong leasing progress, 4.3 million square feet exchanged or under offer in the year, all at significant premiums to ERV because we're focusing on the most in-demand segments of the market. Innovation in campus space, where we're seeing increasing levels of demand; Retail Parks, the preferred format for retailers; and London Urban Logistics, where we've made strong progress with our development pipeline. Now I'll hand you back over to Simon for an update on strategy.
Simon Carter: Thanks, Darren. Our strategy is based on making sure we're in the right parts of the market. Since 2021, we've successfully reshaped the portfolio with 3.5 billion of capital activity to focus on three attractive markets: Campuses, Retail Parks, and London Urban Logistics. These now make up 93% of our business. We're very pleased with the capital activity this year. The standout transaction was the surrender and joint venture of 1 Triton Square. This realized over 80% of the value of the building. We intend to drive further performance by capturing a significant reversion of around GBP30 per square foot. We've reinvested the proceeds in our development program, including the pre-let and commitment to 2 Finsbury Avenue. On Monday, we sold our 50% interest in Meadowhall to our joint venture partner Norges for GBP360 million, 3% ahead of book value. And we continue to manage the center on their behalf. The sale is in line with our strategy to reallocate capital from Shopping Centers into Retail Parks, where we are reinvesting at similar yields. Retail Parks have become the preferred format for many retailers. They have fewer units than shopping centers, which results in stronger rental tension. Lot sizes are typically 25 million to 50 million, so they're more liquid. And CapEx is much lower. They are basically steel boxes around a car park, so the yield you see on the slide is what drops through to the cash flow. As I mentioned, our three sectors now make up 93% of our business. You can see why we like these markets. At our London Campuses, vacancy is 4%, compared to 9% across London Offices as a whole. Our Retail Parks are practically full, compared to 14% vacancy across the wider retail market. And in London Urban Logistics, our vacancy is just 0.2% compared to 7.2% for the UK big box market. Strong fundamentals and good execution drove our total property return and ERV growth significantly ahead of the benchmarks. Now let's look at our markets in more detail, starting with the Campuses. As you know, the pandemic led most companies to reevaluate what they want from their office. Their conclusion, higher quality space in order to attract and retain talent. So what does this look like? The first thing is location. Occupiers are gravitating to key transport hubs to make it quicker for their employees to get in. And those employees want to work in an exciting part of town where there are good bars, restaurants, coffee shops and retail. Sustainability has moved up everyone's agenda, which is driving businesses to reduce the carbon footprint of their real estate. We all want to work in a building that promotes well-being with good natural light, ventilation and outdoor space, and we all want to feel part of a wider community. Then there's the experience within the building. At our first half results, I used the expression hotelification. This captures the trend we're seeing for communal areas to feel more like a hotel or your home, with a softer, less corporate feel. More people are cycling to work or exercising during the day, so bike racks and shower facilities are essential. And businesses increasingly want flexibility beyond standard workspace. This includes bookable meeting rooms, additional collaboration space, or the use of an auditorium. Our Campuses meet all of these requirements. And it's no coincidence that company headquarters, where the trend to upgrade is strongest, represent 80% of our space. As you heard from Darren, the demand for new space in the right locations is strong, but new supply is very constrained. This is particularly the case in the City. Over the next four years, we expect just 1.3 million square feet a year to be delivered, but historically, average take up of new or refurbished space has been 2.1 million square feet a year. This demand is likely to increase going forward, given this trend to upgrade. And at the end of the last quarter, under offers in the City were at the highest level in 24 years, 54% ahead of the 10-year average. This dynamic drove rental growth of 5.4% on our campuses over the year. Looking forward, Cushman & Wakefield expect rents for super prime space in the City to grow around 8% a year over the next four years. Given this favorable backdrop, we recently committed to 2 Finsbury Avenue. This iconic building will create a new benchmark for highly sustainable workspace in Central London, and it's currently the only large building in the City to be delivered in 2027. We're pleased to have pre-let over 250,000 square feet to Citadel, who have options on another 130,000 square feet. This means that the building is 33% pre-let, or 50% if the option space is taken at a record rent for the City. Given the supply squeeze, we're confident the remainder of the scheme will lease very well, delivering attractive returns with a forecast yield on cost of 7%, profit on cost above 20%, and a mid-teens IRR. We will consider bringing in a partner at 2 Finsbury Avenue to accelerate returns, stretch our equity and share risk. We have an excellent track record of using joint ventures to do just this. Our joint venture with Royal London at 1 Triton is a good case in point. Partners are attracted by our strong capabilities in development and asset management, our excellent track record of delivery and our leading sustainability credentials. As many of you heard at our recent seminar, science and tech customers are a core part of the Campus strategy. Our campuses are ideal for the clustering and serendipitous encounters that are so important to these businesses. The science and tech sector is broad. It represents around 15% of the UK economy and its growing fast. It's not just about life sciences, it also includes green sciences, physical sciences, data sciences, tech and artificial intelligence. We have the right real estate, locations and capabilities to meet the demands of these sectors. Our buildings are modern, with good power, ventilation, and floor to ceiling heights. And we're fortunate to have holdings in established clusters like London's Knowledge Quarter, as well as sufficient scale at Canada Water to create a new cluster. Based on our 2 million square feet pipeline, science and tech customers could double to around 50% of our Campus footprint by 2030. We're capitalizing on these favorable fundamentals. Regent's Place sits in the heart of the Knowledge Quarter, where economic output has increased by 7% a year, far higher than the rest of London. Being in close proximity to key institutions like UCL, the Francis Crick Institute, the Turing, and the Welcome Trust is a key advantage. We recently signed partnerships with the Crick and UCL. Both are effective nursery grounds for the next generation of occupiers. Outside London, we have a pre-let -- we've pre-let 48,000 square feet at the Priestley Center in Guildford to a leading life science tools company, LGC. In Cambridge, employment grew 3.5% a year over the last six years and lab vacancy is less than 3%. That's why we're expanding the footprint of our Peterhouse Technology Campus by nearly 100,000 square feet with The Optic building. This is the only office and lab project of scale to be delivered in Cambridge in 2025. I'll now turn to Retail. As I said earlier, Retail Parks have become the preferred format for many retailers. That's down to what we describe as the three As: affordability, accessibility and adaptability. Parks are affordable, rents have reduced, business rates rebased and service charges are low. Parks are accessible, they're located on major arterial roads with ample free car parking, and the stores are large steel boxes which can be easily adapted. That's why we've seen significant incremental demand coming from discounters, essential retail and the multi-channel specialists. Taking all this together, it's no surprise that Parks have enjoyed net store openings since 2016, in contrast to significant closures on the high street and in shopping centers. And as Darren explained, the restricted planning regime means we're very unlikely to see much new supply and we're 99% occupied. These favorable occupational fundamentals, combined with limited capital expenditure, liquid lot sizes and the ability to buy below replacement cost make parks a good investment. We were ahead of the market when we focused on Parks in 2021. Since then, we've invested GBP410 million, a period when Parks have been the best performing sector of MSCI and we outperformed by nearly 440 basis points. We plan to grow our exposure further, given net equivalent yields of 6% to 7% and forecast rental growth of 3% to 5% per annum. Moving now from Parks to London Urban Logistics. E-commerce growth drives the entire logistics market, as we know, but there are additional tailwinds in London Last Mile. These include rising expectations about the speed and convenience of deliveries, as well as more stringent requirements for low carbon, low pollution deliveries, and operators also make substantial savings by being closer to their customers. Added to this, vacancy is low, especially in Central London, so demand dramatically exceeds supply. As you heard from Darren, we've made good progress with our Logistics pipeline. Four of our seven schemes are consented. Verney Road in Southwark is in for planning and we're on site at Mandela Way. This is also in Southwark. It's pictured on the left-hand side. You can see how we drew on our mixed use experience to design a scheme in keeping with this densely populated part of London. Turning now to the outlook. Macroeconomic and geopolitical uncertainty remains. However, our base case expectation is that the economic environment will be more supportive over the next 12 months than it has been over the last couple of years. Inflation has reduced and the next move in base rates is likely to be down rather than up. Most forecasts suggest UK unemployment will remain low. This should underpin continued demand for best-in-class workspace as a means to attract and retain talent in a tight jobs market. Similarly, low unemployment and the first real wage growth in a number of years is supporting our Retail business. This base case, together with the momentum in the business, underpins our ERV guidance of 3% to 5% growth across each of our three markets, which you probably know pretty well by now. So where will we be focusing our efforts going forward? On our Campuses, we'll continue to recycle out-of-mature assets into super prime developments, bringing in partners potentially to accelerate delivery and share risk. We also plan to increase our exposure to science and tech businesses, given their growth trajectory. We will grow our Retail Park business, if we can continue to invest at attractive yields and below replacement cost. And in Urban Logistics, it's all about building out our attractive development pipeline and sourcing future opportunities. So, to conclude, we're in markets with favorable supply and demand dynamics. We create additional value through development and asset management. And with a portfolio yield over 6%, strong rental growth prospects and development upside, we are confident of delivering attractive returns going forward. Thank you very much for listening. Bhavesh and Darren will now join me on stage. And as ever, we're happy to take any questions.
A - Simon Carter: So we've got questions in the room, a couple of hands up there, also on the lines and on the webcast. Ben, because you're just in front of me, I'm going to go to you first, so...
Ben Richford: Thanks. Ben Richford at Bernstein. Just on your Retail Parks, you've got a very high quality portfolio currently. And I just wondered, what is the size of the opportunity set of high quality parks that wouldn't dilute that?
Simon Carter: Do you want to take that one?
Darren Richards: Yeah. I'll take that. Yeah, we've got -- thank you for recognizing. We've got a high quality portfolio showing through on our numbers. Just to put this in perspective, we've got 44 retail parks. There are technically, I think there's about 1,200, 1,300 parks in the country. That's everything all down to including kind of solus units, over kind of 50,000 square feet, where you've got some real critical mass there, kind of four or five units. You're talking about 800, 900 schemes. So we think that there's enough opportunity there. I mean, to be honest with you, I don't think there's any secret with targeting stuff at the moment. We've got on our desk at the moment, we've got about 15, 20 schemes that we've already underwritten. Because that's what the scheme. That's what we've done as a team. We've got the trading data from the retailers. We're able to cross reference that with our own portfolio. So we think that in terms of redeployment, we should be able to buy another 800 of those -- 800 schemes over time.
Ben Richford: Just following on them from Retail Parks, do you see an opportunity to bring data centers into any of those?
Simon Carter: It's not something we're looking at, at the moment. I mean, like many businesses, we're doing a screen of the portfolio just to look at where we've got power and good connectivity, to see if there are data center angles there. But it's not something that we're actively pursuing in terms of new acquisitions at this point.
Ben Richford: That's it for me. Thank you.
Simon Carter: Rob. Good morning, Rob.
Rob Jones: Good morning. Rob Jones from BNP Paribas. I've got four in total. Just firstly on Storey. I presume you want them separately rather than all at once.
Simon Carter: Yeah, if you can. That's probably easier.
Rob Jones: So income is down 18% on like-for-like basis. I wonder, a, to what extent that was in line with your expectations or a disappointment; and then b, for FY '25, can it be non-negative?
Bhavesh Mistry: Yes. As I said in my script, there's about 2 million of cost rebates we had last year. So that skewed the result. So if I strip that out, then the number was much better. The other element is at 1 Finsbury Avenue, which is a building next to construction site, you see out here, 2FA. That's a little bit harder to lease, right, because it's a development site. So that's been a bit trickier to lease. But our occupancy is at 90%. That's where we target it. We've got good rental premium. So looking forward, we expect positive Storey performance next year.
Rob Jones: On the ERV growth guidance of 3% to 5%, when I look at your leasing versus ERV post period end, we're notably ahead of that. And obviously, last year, you did closer to 6%. It looks to me like that 3% to 5% is conservative, albeit it's a start of financial year guidance. Am I wrong?
Bhavesh Mistry: Let's call it prudent.
Rob Jones: Okay. Darren, on Slide 17 and 18, you talked about the fact that you've got four times active demand versus new space, but obviously, not all of the active demand out there in the market is necessarily looking for new space. I wonder that multiple or that ratio, how that might compare over time. And if we look back five or 10 years ago, would it have been two times, in which case we're very excited, or has it historically been running at roughly four times?
Darren Richards: It's pretty high by historic standards. We're digging back through the data, which isn't always perfect, by the way, when you start looking at historic active demand data from seven years ago, by the way. When -- look, we're not saying this is perfect KPI, but it's just a pretty good indicator that you've got much more active demand than you've got space. I know people, not everyone on the list is going to transact and maybe they won't transact yet. Maybe they'll transact in the future and maybe they don't all want good quality space or best-in-class space. But we haven't met many CEOs at the moment who are looking for secondhand space at the moment. So the lion's share of that should be going in the right direction towards best in class. And I think that's just driving the dynamics that we're seeing in the market. That's what's driving our rental growth. So we think, look, it's a very positive indicator, but yes, I agree, it's not all going to transact.
Rob Jones: And then just finally, on the 7% of the portfolio, Meadowhall sale that isn’t Campuses, Retail Parks, or London Urban Logistics, what within that do you still want to sell?
Simon Carter: There's a residual portfolio of shopping centers. The ones we'll probably sell in time are the covered shopping centers. We do have some open air shopping centers which probably perform more like the Retail Parks in terms of very low CapEx and we're seeing good occupational demands for those. But the portfolio is in a good shape at 93% in our core markets we feel. Sam. Sam at the back.
Sam Knott: Thanks. Sam Knott from Kolytics. Maybe just the other way on ERV growth. It looks like 3% to 5% is your long-term maybe estimate. How sustainable is that, particularly in retail to be at double the rate of inflation before, or how long does it take for rents to get unaffordable? Obviously, they are at quite good levels now, but...
Simon Carter: The 3% to 5% is guidance for the next financial year. But we are thinking that rental growth will continue at good levels going forward. In Retail, as you mentioned, affordability is key. If you look at where those occupancy cost ratios were. Darren mentioned, we're in 9% occupancy cost ratio now, I think 8.9%. That's come down from about 17%. So there's a lot of room in there. And also, we're seeing very good growth in sales in our portfolio. Sales are growing. I think it's what 5% last year across the portfolio. So you can see that those math are stacking up for the retailers at this point.
Sam Knott: Thanks. And then obviously, you had good ERV growth. You had lettings well ahead of ERV. I think in your PDF statement, new leasing’s were still 5% below passing rents. So what's the current state of reversion, particularly in the Retail Parks portfolio, and how long until that's coming through as positive releasing spreads?
Simon Carter: Darren, do you want to take that one?
Darren Richards: There's still -- there's still some burn-off that's been coming through, as you spotted. If you have a look at it from a technical perspective, and we've got in the back of the pack, I think we are on Slide 65 from memory, that's sad knowledge. There's -- if you look at it on the per square foot basis, you'll see, if you look at the delta between the contracted rent per square foot and what we've got coming through in terms of ERV, you've got about a 6% delta there at the moment. But as you've seen, we're letting way above ERV, 20% ahead of ERV. So we expect that to burn off pretty quickly. And we'll be able to start to see that positive rental growth start tracking through in -- into like-for-like. The fact that we're full -- I mean, let's not underestimate the power of that. And just to put this in perspective, we've got 865 retail park units. We've only got 15 truly vacant right now that aren't under offer, and six of those are in active discussions.
Simon Carter: Zach.
Zachary Gauge: Hi. It's Zachary Gauge from UBS. A couple of questions from me. Firstly, on the 2.4p EPS growth in full year '26 from developments, I was wondering is that net of the impact of capitalized interest falling away and how much of that is pre-let?
Bhavesh Mistry: It is net of capitalized interest falling away, and it's about 35% pre-let.
Zachary Gauge: And the second one was on the development values. I think you had them down 2.4%. Obviously quite a small movement when Canada Water was down 13%. Obviously, a big part of that. I know you announced the Citadel lease post quarter-end, but I was wondering if the valuers have taken that into account in their valuation, which helped improve the overall development values for the year.
Simon Carter: They began to track the deal because obviously, it was under offer. Big deal like that takes time to close, so it had been tracked through, but there'll probably be something in the first half of the year we're in at the moment.
Zachary Gauge: The rental growth, and it was assumed that it would be going through essentially? That it would be going through essentially?
Simon Carter: Yeah. We've leased a bit higher than what was assumed at the end of March.
Zachary Gauge: Okay. Great. Thanks.
Tom Musson: Thanks. Good morning. It's Tom Musson at Goldman Sachs. I just got a couple of questions on the assumptions going into the IRR calculations. I guess we take 2 Finsbury Ave as the example, 15%. And you mentioned your exit yields have moved up. I wonder to what degree exit yields have moved up within the underlying assumption there. And what sort of level are you assuming on that? I'll ask that one first and then follow up.
Simon Carter: So exit yields have probably moved up 125 basis points compared with where we might have been a couple of years ago. Similar as you've seen in the valuation indices. And I think from memory that IRR is calculated off like a 5.25, 5.50 exit yield. Yeah.
Tom Musson: Do you assume that it is fully let on PC?
Simon Carter: Yes. Actually, no, we don't actually. In that IRR, we do have a period of time for -- I think we assume probably 50% less. And then there's six months to lease up the remainder of the space. If you look, you might have seen on my side, our Broadgate developments that we've delivered over the last sort of five to 10 years at PC, they've been 97% let. So there'll be a bit of upside to come if we lease it up ahead of practical completion, which looking at demand today feels a pretty good bet.
Tom Musson: And then last one, I guess just depending on the end date that you choose to finish that calculation, is there any tax implication there within the calculation?
Simon Carter: No, we're assuming -- we're a UK REIT, we assume we continue to hold these assets. Of course, at the appropriate point, we look at locking in returns and exiting drier, more mature office assets. Often it makes sense to take assets through to close to the next rent review. So it's looking reversionary or to that next rent review before we exit.
Tom Musson: Thank you very much.
Simon Carter: Was there one more question in the room? Yeah. There's one there.
Marc Mozzi: Hi. Marc Mozzi from Bank of America. Just one brief question for me. Your taxes are up GBP2 million. Is that -- is there any reason for that? And is that something we should expect to continue in the future?
Bhavesh Mistry: We are non-p -- income, so our fee income services we provide to our tenants, that's taxable. It's consistent with what you've seen in prior years.
Marc Mozzi: So as it's going to go down, then the tax will go down as well. Okay, thank you.
Simon Carter: Looks like that's probably the questions in the room. Do we have any questions on the phone lines at all?
Operator: [Operator Instructions] We have a question from Adam Shapton with Green Street. Your line is open. Please go ahead.
Adam Shapton: Good morning, team. Thanks for the presentation. Two quick ones on Retail Parks, maybe following Darren's earlier answer. The first is just on deploying capital into the sector. You mentioned you're underwriting 15 to 20 schemes and maybe eight to 10 of those may come to fruition. Is it reasonable to assume that that is over the next 12 months, or is that too aggressive as a timeline? And then the second question, just on the demand side, on your Slide 38, you make clear the rotation of retailers out of high street and shopping centers into retail parks. How much more runway do you see for that theme? Obviously, a lot of the kind of national UK retailers have done a lot of that already and that's evident in the reporting from the public companies. But how do you quantify the remaining runway in that theme?
Darren Richards: Sure. Can I just start with a clarification there? I didn't say that we were going to transact eight of the what we're looking at. I was just saying we've got 800 out there and it should be realistic that we could get our hands on eight of those. Just to be clear, we are scanning. And sorry, Simon about to... (ph)
Simon Carter: Yeah. And I think time period for investing into Retail Parks. Yeah, you should think the next kind of 12 months or so. But we'll be disciplined, if we can get the yields that make them good investments that we showed on the screens, we'll do it. If we're investing below replacement cost, it makes sense, but we'll be disciplined. But we do feel confident we'll be able to reinvest into that asset class. And then in terms of, I think, Adam, your question was around, are we likely to see further switches from the high street into retail parks? In short, I think the answer is yes. To the extent there is space, because as we flagged, there's not a lot of space on our portfolio. But Darren, you can probably give some flavor on the type of customers that are switching from high street shopping centers in into the park.
Darren Richards: We've still got -- if you want to bundle this into three rough categories, you've still got your expansion out of town coming from your out of town stores, so you've still got next repositioning that portfolio. M&S are going strong on doing that as well, JD Sports, the people you'd expect classic to -- classically to be on definitely our parks. The big new wave that's coming on top of that has been from the discounters. These aren't new entrants to the market, but brands you'll be very aware of the Aldis, the B&Ms, the Home Bargains of this world. They've got very strong expansion plans onto parks. They trade incredibly well there. And there's a lot of runway as far as they're concerned. And then the third pot that we look at and they kind of cross over the two, but they're kind of game changers, so we're seeing Primark start to reap. We're doing deals with Primark now out of town, a huge footfall generator. We've just done a massive deal with Zara. It's the biggest Zara out -- in fact, sorry, I'll correct myself. It's the only Zara out of town in the country. Big game-changing occupiers who change footfall dynamics and help everyone's trade rise. So, we think there's lots of potential there particularly given, as Simon said, that the occupational fundamentals.
Simon Carter: Anymore?
Adam Shapton: Okay. Very good. Thank you.
Simon Carter: Thanks, Adam. Hopefully, that answers your question. Any more questions on the phone line? No, getting a shake of the head there, and then do we have any on the webcast at all? No. Okay, well, I think that's a lot for today. So thank you very much for joining us this morning. And we look forward to seeing a number of you on the roadshow over the next couple of weeks. Thanks for your time.